Operator: Good day and welcome to the Nephros, Inc. Fourth Quarter 2021 Financial Results Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Kirin Smith with PCG Advisory. Please go ahead.
Kirin Smith: Good afternoon, everyone. This is Kirin Smith with PCG Advisory. Thank you all for participating in Nephros's Fourth Quarter 2021 conference call. Before we begin, I would like to caution that comments made during this conference call by management will contain forward-looking statements regarding the operations and future results of Nephros. I encourage you to review Nephros's filings with the Securities and Exchange Commission, including, without limitation, the company's Forms 10-K and 10-Q to identify specific factors that may cause actual results or events to differ materially from those described in the forward-looking statements.  Factors that may affect the company's results include, but are not limited to the impact of the COVID-19 pandemic, Nephros's ability to successfully timely and cost effectively develop, seek, and obtain regulatory clearance for its products and services offerings. The rate of adoption of its products and services by hospitals and other health care providers, success of its commercialization efforts and its effect on business of existing and new regulatory requirements and other economic and competitive factors.  The content of this conference call contains time-sensitive information that is accurate only as of the date of the live call today, February 23rd, 2022. The company undertakes no obligation to revise or update any statements to reflect events or circumstances after the date of this conference call except as required by law. I would now like to turn the call over to Nephros's President and Chief Executive Officer, Andy Astor. Andy, please go ahead.
Andy Astor: Thank you, Kirin. And good afternoon, everyone. With me on the call today is Wes Lobo, our Chief Commercial Officer. So as you might recall that Wes joined Nephros a little over a year ago, and happy anniversary, Wes. And I thought it would be beneficial for you all to hear what he and his team have been working on. I will begin the call with a summary of Nephros ' recent progress toward its revenue guidance of 25% to 30% growth, or $13 million to $13.5 million.  I am pleased to report that we've had a strong start to the first few weeks of 2022 -- 2022. And to name a few examples: 1. we are now shipping filters on a nationally recognized quick-service restaurant deal, which will add about $250,000 in revenues in 2022. We also continue to pursue several other large opportunities in the food service and beverage industries. Two, we have become a strategic supplier of for two major dialysis companies. We expect these deals to add at least $0.5 million or $500,000 in revenue over the next 12 months. Other significant dialysis customers are also in the pipeline.  Three, we are making excellent progress in our Pathogen Detection Systems group, including significant commercial discussions with at least three leading firms in the microbiological testing space. Also, as noted in our recent shareholder letter, PDS, our Pathogen Detection group has achieved CDC's elite certification for our laboratories, which has helped establish Nephros as a leading developer and manufacturer of qPCR assays for both environmental and RUO or Research Use Only testing. Four, with respect to Specialty Renal Products or SRP and the HDF Assist Module, we have completed our responses on ten of the 14 topics raised by the FDA and are on schedule to resubmit for 510(k) clearance by the end of this quarter, Q1.  Based on our high level of confidence, we have just hired an SRP Director of Commercial Operations whose job will be to manage the commercial launch of the HDF Assist Module and all aspects of the sales marketing logistics and training related to the commercial launch of the HDF. 5. We are planning to launch our new website and lead generation infrastructure in the next 45 days to 60 days. 6. Finally, our core business in hospital filtration sales remains strong, including customer retention rates exceeding 90% and adding an average of more than one new customer side every day. We believe all of the above points are strong indicators of progress in our cause for optimism.  To be clear though, not all of these will be showing significant results in Q1 or even Q2. Building scalability will have a bigger return in the second half of 2022 and more importantly, sets us up for sustainable growth in the long run. I will say this, the Nephros leadership team is working tirelessly to deliver tangible results in the coming months to return us to the growth performance you have come to expect from Nephros. And we believe -- and that we all believe that we can deliver. I'll now turn the call over to Wes Lobo, our Chief Commercial Officer for a closer look at some of our sales and marketing activities and then I'll return to review our financial results. Wes, please go ahead.
Wes Lobo: Thank you, Andy. Good afternoon everyone. The pleasure to be joining you on today's earnings call. Over the past year, have had the opportunity to meet our healthcare and commercial customers and partners, both virtually and in-person. I've been in hospitals that their sales and service teams to see firsthand what we do and how we do it. By main learning is that we are niche market player and infection control for healthcare and what we do, we do extremely well. When we can in front of a potential customer, we have a very high rate of success.  Our challenge has been the ability to broaden the reach of our value proposition to a wider audience. Choose a sports analogy, we have a high batting average. We need more of that. We're addressing this opportunity through three lenses, brand and marketing, business development, and customer service. First, our brand and marketing team has been working diligently over the past few months to overhaul and launch a new Nephros's brand that better articulates who we are and how we help our customers. In scope to name a few elements is a new website to update a product and company collateral, lead generation initiatives, and more channels through which to connect with our customers.  We'll be publicly launching our new brand and messaging at the Grainger show next week in Orlando. And we expect to launch the new website, in the next 45 to 60 days. Our goal is to make Nephros easier to find, easier to contact, and to clearly communicate our value proposition in an easy to understand and measurable way. On the business development front, we've organized around our three primary filtration segments of healthcare, dialysis water, and commercial, as well as pathogen detection.  While the pandemic has caused significant stress on the healthcare market over the past two years, the market opportunity and expected growth from favorable CMS guideline changes continue to make healthcare primary focus for Nephros. Between hospitals, long-term care, and skilled nursing facilities, there over 50,000 locations in the U.S. alone. According to the AIA Consensus Construction Forecast, new construction and retrofit expansion spending in healthcare is expected to grow at mid-single digits in 2022 and 2023.  We've continued expansion of health care facilities and more beds are being added to the addressable market and we have a lot of runway to accelerate growth and expand our share within healthcare networks through a targeted value proposition for their channel partners. For example, we can now supplement our infection control filters by providing our healthcare customers with filtration solutions to include taste, odor, scale, and more. Over the past two years, we've had nice pull-through growth of the commercial filters being sold as part of the solution with our infection control filters in healthcare.  In fact, in one recent example, a California-based hospital that uses our inline infection control filters for their ice machines was unhappy with the taste of their water, so their patients and staff were using bottled water. They asked if we can help, and by supplementing their infection control filters with our carbon filters for taste to noter, they now enjoy drinking water from their dispenser and have cut down on pallets of plastic bottled water. This is one of many examples of accomplishing our goal to be a resource for science, solutions, and services to our customers.  In dialysis water, we have strong OEM relationships where our filters play a key role in dialysis machine, delivering safe dialysate water to patients by retaining bacteria and endotoxins. We are recently qualified as a strategic supplier by a high-growth dialysis company and we are working on similar strategic relationships with a handful of dialysis machine providers. We expect our dialysis quarter business to continue its strong growth trajectory as we work to solidify our OEM relationships. In commercial filtration, we are focused on the food service and beverage markets, especially quick-service restaurants or QSRs.  As Andy stated earlier, we recently started shipping filters for beverage machine to a large national chain QSR, a quarter of a $1 million opportunity and we're working on similar opportunity to reach its globally recognized partners and regional chains. This commercial opportunity is multi-tiered and more complex in healthcare and therefore take longer to develop. However, we believe we have a healthy pipeline, and we'll continue to nurture and develop these opportunities. Moving from Filtration to our Pathogen Detection business. Last year, we had nice few wins across healthcare, multi-family housing, and recreation and hospitality.  We grew from $30,000 in revenue in 2020 to $188,000 in 2021 and more importantly, we gained experienced and feedback on our products and services from end customers, consultants, service providers, and agencies. Our industry-leading assortment of assays are applicable to many different markets and customer types. Our focus in the short-term is to show up our relationship with at least two potential testing partners as a supplier of qPCR test strips and kits. We anticipate our Pathogen Detection business to demonstrate sustainable growth in 2022 and to build the foundation for accelerated growth going forward.  Finally, to the topic of customer service. we are well known for our industry-leading service when it comes to emergency in outbreak response business. We are working to supplement this service with a more structured approach to the full customer journey to provide a terrific customer experience and improve our customer retention rate. While our current retention rate of greater than 90% is good, we know it can be better, and each extra percent of customer retention means improved customer experience and higher revenue.  As you can see, our team is working on many exciting growth opportunities, which we believe will have measurable benefits in 2022 and beyond. A year ago, I stated my enthusiasm for joining Nephros team and having the privilege and opportunity to tell our story. We’ve been working to do just that and in the coming weeks, our team is excited to share the story of how Nephros seeks to improve the human relationship with water by providing leading accessible technology and resources for advancing water safety and water quality. Thank you and I'll turn the call over back to Andy now.
Andy Astor: Thank you, Wes. That was great. I will now review our financial results. We reported fourth quarter net revenue of $2.8 million, an 18% increase over prior year and full-year revenue of $10.4 million, a 22% increase over prior year. The $10.4 million represents a revenue record -- I'm sorry, a record revenue year for Nephros albeit by a small margin. And furthermore, we have now delivered four consecutive quarters of year-over-year growth, averaging 19%.  Net consolidated loss for the quarter was a million -- $1 million, compared with $0.8 million in 2020,and net consolidated loss for the year was $3.9 million compared with $4.5 million in 2020. Consolidated adjusted EBITDA in the quarter was negative $0.4 million compared with negative $0.5 million in 2020, and consolidated adjusted EBITDA for the year was negative $2.6 million compared with negative $3.6 million in 2020. Consolidated gross margins in the quarter were 53% compared with 56% in 2020.  Consolidated gross margins to be year were 55% compared with 57% in 2020. We do continue to expect future gross margins to be in the range of 55% to 60% despite this quarter's fall to slightly under that range. Consolidated R&D expenses in the quarter were $0.5 million compared to $0.6 million in 2020, and consolidated R&D expenses for the year were $2.2 million compared with $2.8 million in 2020. Consolidated SG&A, or sales, general and admin expenses, in the quarter were $2 million compared to $1.4 million in 2020, and consolidated sales, general and administrative expenses for the year were $7.7 million compared with $6.5 million in 2020.  Our cash balance on December 31, 2021 was $7 million, $7.0 million. Please refer to today's press release for more details about the calculation of adjusted EBITDA and its reconciliation to GAAP net income or loss, and additional information about our results including our water filtration, pathogen detection, and renal products businesses -- business segments will be found in our filing on Forms 10-K, which we plan to file on or about March 2, 2022. That concludes the financials.  I'll now make a couple of closing comments in our last earnings call in early November, I said we were pleased with the results that that we were not satisfied. In that call, I stated our intention to accelerate our growth trajectory by investing in scalable commercial and operational infrastructures, and balancing short term results with long-term sustainable growth. We are staying true to those objectives. And the results are beginning to show, as evidenced by the examples I listed early in this call, as well as by Wes ' comments.  As always, I would like to thank each of our Nephros employees and our strategic partners for their unwavering focus on providing unsurpassed products and services to our customers. Thanks also to our devoted investors represented on this call, largely, for your continued confidence and frankly, your patience. Please continue to stay in touch. You can always reach out to me at andy. astor -- A-S-T-O-R, @ nephros.com. This concludes our formal presentation remarks. We will now take questions from the audience. Operator or Chad, please open the call for questions. Thanks very much.
Operator: We will now begin our question-and-answer session. [Operator Instructions] If you were using your speakerphone, please pick up your handset before pressing the keys. [Operator Instructions] At this time, we will pause momentarily to assemble our roster. Thank you. And our first question will come from Marc Wiesenberger with B. Riley Securities. Please go ahead.
Marc Wiesenberger: Yes. Thank you. Good afternoon. I appreciate the insight into the commercial. I'm wondering if you could rehash those details again and additionally, what percent of the overall footprint does -- what you're currently servicing represent for this customer in aggregate? Is this an initial pilot that maybe as we move through the year, should expand from the stats that you talked about earlier?
Andy Astor: Sure. Hi, Mark. What I said was -- and Marc, I'm sorry. Go ahead. We will add about a quarter of a million dollars in revenue in 2022. We don't have the exact numbers yet, and it is not a pilot. The testing is over and this is a nationwide rollout. But as we've -- as I've said before, both in private conversations and I think also on these calls, the market of food service and hospitality has a unit and value that is much lower, or I should say, a site value that's much lower than at health care. It's usually in the hundreds of dollars if that. This is a large contract with multiple thousand locations and that is the expected annual revenue, roughly a quarter of $1 million, give or take.
Marc Wiesenberger: Great. Appreciate that additional insight. You talked about scalability is setting up for a bigger second half of the year. The last few years in the second half represented about 52% of overall sales. Should we expect a deviation for that this year, based on your scalability comments?
Andy Astor: It is -- it's hard to set specific numbers for what the second half of the year looks like. I don't think that what you just said was the -- if I look back at 2019, for example, I think it was more like 60% in the back half of the year. So first of all, I'm not sure if it's evenly spread as your observation. But more importantly, Marc, the difference this year is not that we're saying the second half of the year will be big -- will be larger because of market trends, but rather because of the scalable infrastructure and the work that we're building in are expected to build over time. I think it is our expectation that we'll see increased acceleration through the year and also into next year.
Marc Wiesenberger: With regards to your calendar 2022 guide, I'm wondering if you could talk about the level of emergency response to that. You're baking in, and how does that compared relative to calendar 2019? I believe the emergency response has been below trend in both calendar '20 and maybe '21. I don't think leading our outbreaks to time offs as a result of COVID. Where is the primary delta relative to normalize trends, their weakness maybe in larger hospitals, or long-term care facilities? I want to hear your thoughts and also, where -- when do you think maybe you get back to normalized levels in the emergency response segment of business?
Andy Astor: Well, emergency response was deeply, deeply depressed, close to zero in 2020, but that was not the case last year. Emergency response last year was in the normal range. We usually say that if you zoom out, it's about 15%, although it varies tremendously because it is by definition unpredictable, it is emergency. And we're expecting similar levels of 15 - ish% as we continue to grow. And we will learn, frankly, whether or not emergency response will scale up the same rate or faster or slower as we grow because we've never been there before, so we'll have to see. But as a starting point, 15% or so is about right.
Marc Wiesenberger: Great. Appreciate it. And then just a final one for me. If you could talk about the demand resulting from recent CMS and Joint Commission guidelines, how that progresses at the end of the year, how it's progressing thus far in 2022. And -- and how close of an analog is the 2017 time period turning out to be thus far and going forward? Thank you.
Andy Astor: Thank you, Marc. It's a hard thing to measure. When we were in the 2017, 2018, and even 2019, in the field, there was a lot of talk about the new CMS guidelines. And for those on the call who may not be familiar with this, these are guidelines on water management plan that healthcare -- every health care institution in the country is required to follow. They've started in June of 2017 with a set of guidelines, and those guidelines are being or have been tightened starting in -- on January 1, 2022.
Wes Lobo: I would say that we're seeing the same thing. It's -- it is a big issue. Hospitals or health care institutions are dealing with it differently. It's more of a rising tide. You don't really notice the impact on a day-by-day basis even though it's a hot topic, but it very much influenced our growth in the 2017 to 2019 and frankly, I expect it to continue to do the same thing in 2022 to '24. Thanks, Marc. I appreciate it.
Andy Astor: Great. Thank you.
Operator: And the next question will come from Anthony Vendetti with Maxim Group. Please go ahead.
Anthony Vendetti: Yes, thanks. There was some static there so I don't know if you answered this, Andy, but the new water management standard went into effect 1-1 - 2022. Did that new standard increase interest in your products and services? And if so, is there a way to quantify to what level, in terms of either the pipeline or the growth that you can attribute to that new standard?
Andy Astor: I don't have -- I'm sorry that the noisy line. I don't have a quantification of that. My experience in the 2017 to '19 time frame was better. It was more like a rising tide that more healthcare institutions were interested in water management plans, which we do not per se do, but we do the remediation that comes from water management planning. And it obviously had a very helpful impact. I don't know how to quantify the specific impact of the guidelines on what we're seeing in the market. Wes, would you differ from my perspective? You're in the field a little more?
Wes Lobo: Yeah, it's a good question. I think from what I've seen so far, is it's too early. I know that it's going to affect on 1122. And what I've seen and what I've heard is there is a mix of health care facilities. That prior to this going into effect, we're already stressed in terms of manpower and coverage with the roads maintenance, facility upkeep, etc. So there's a combination of still education that's going on. You see a lot of whether it's through different consulting agencies and organizations who are still out there doing a lot of education as they go through what their healthcare community, and again, working with maintenance, engineering, and operations staff, well, we have seen,  I think, Andy, you mentioned in the last earnings call, we have seen facilities that were contracting with now new health care facilities that were contracting with them are seeking out our product or asking about it as a result of implementing the water management plans. So we are seeing an ask as a result of it. We're also seeing that there's still a lot of questions about exactly what it means, there's still a lot of education going on.  And so my view is that it's going to be a slow walk up in the first few months and we're -- that we're doing -- that we're going through right now. And the role that we play in it in this part of what I mentioned before but just getting more facts. The role we play in it is to just try to cast a wider net on helping the healthcare community with -- through education and what it means, how it impacts them, and how we can help.
Anthony Vendetti: Okay. That's helpful. And then to -- that was good color on the restaurant contract, Andy, but on the Specialty Renal Products. You've completed 10 of the 14 questions. You expect to resubmit to the FDA for the five 10-K by the end of 1Q 2022. Does that -- is that a 90-day clock that starts once you resubmit? That's one part of the question and then the second part is you mentioned that in the beginning of the call in your prepared remarks, you have in your orders or your backlog voters, you have 500 thousand from two HDF customers. Is that contingent upon this product being approved or is that a different contract?
Andy Astor: I wish that was the case, Anthony, but that's not. First of all, it is a 90-day clock that restarts when we resubmit. We're planning on resubmitting at the end of March and we are -- what we have found is that the FDA is unpredictable and can be quite slow in its responses but we are making headway with them. I do believe that we will resubmit at the end of March and I do believe that roughly 90 days later, we should be getting a response from them.  You -- what you heard in terms of the $0.5 million was for a couple of dialysis water purification contract. In other words, we have three filtration businesses as you'll recall. We have hospitals, infection control. We have dialysis water purification and we have our hospitality and food service business. The $0.5 million that I mentioned was in the dialysis water purification that completely different than the HDF business, which I talked about a little bit later.
Anthony Vendetti: Okay. Now that clarifies it. That's -- that's -- that was very helpful. Okay. Good. Okay. Those are -- those are my questions. Thanks very much. I'll hop back in the queue.
Andy Astor: My pleasure, Anthony. Good to hear from you.
Operator: Thank you. And the next question will come from Neil Cataldi with Blueprint Capital. Please go ahead.
Neil Cataldi: Hi, guys. Thanks for the color tonight. A few of mine were already asked but I'll just -- I'll follow-up on two. Regarding the QSR opportunity, could you tell how long you were working on this? And has anything changed that might mean more of these start to hit, or does this win effectively open the door, validate your ability to capture others?
Andy Astor: It's a great question, Neil. And good to -- it's good to hear your voice. If I said forever, we've been working on it, would you believe me? It is -- we've been working on it for quite some time, probably over -- certainly over a year and maybe a little longer than that. And I don't think that it represents a change for -- I don't think there's an industry change that caused it to happen. I do think that our persistence and our integrity and our relationship building has paid off. And I -- we're not starting from zero in the other opportunities that we are pursuing. As the word gets around, which it will, of our filters in several thousand locations, and our ability to deliver and perform, and our reputation grows. I do think that it will help us win additional business.
Neil Cataldi: Okay. I remember two years ago, you were talking about a big opportunity and it sounds like this is a different one and maybe that one is still out there. Could you help us understand why they chose to switch? Was it a cost comparison or was it some other feature?
Andy Astor: Why they chose to switch at all or why they choose --
Neil Cataldi: Or were you designed into a new machine or -- I don't know.
Andy Astor: Yeah.
Neil Cataldi: Is there any background on why they chose you versus other competitors that have filters?
Andy Astor: They had reasons, which I won't discuss, that they wanted to get away from their provider and vice versa. It was -- there was -- they wanted to change their filtration solution and they went looking for products through a -- they were serviced by another buyer company and that company came looking -- went looking for providers, found us, selected us, tested us, partnered with us and so we were selected. Frankly it was not a -- it was a cold selection process.
Neil Cataldi: Got it. So there's a middleman partner that you've relationship with?
Andy Astor: There was barely a relationship there. The middleman partner knew of us, but they also knew of everybody else, and we were evaluated along with others.
Neil Cataldi: Got it. Great. One other question I have on the pathogen side, I think you mentioned some partners that you're working on there. Anything you can elaborate with? I imagine they're distributors of some sort. And if so, what type of hospital reach might they have?
Wes Lobo: Well, what I said was three leading firms in the microbiological testing space. I'm not going to comment further on what or who they are, but they're not the traditional hospital distributors that we've been working with on the Filtration side even though there is also opportunities growing in that -- on that front.
Neil Cataldi: Okay. All right. Great. Thanks, guys. Great call tonight. Look forward to talking to you.
Wes Lobo: You too.
Andy Astor: Thanks, Neil.
Operator: [ Operator Instructions] The next question will come from Jason Hirschman with Hudson 2-15 Capital. Please go ahead.
Jason Hirschman: Hi, Andy. Hi, Wes. How you guys doing today?
Andy Astor: Doing great, Jason. Nice to hear your voice.
Jason Hirschman: Nice to hear your voice too. You've talked about the batting averages. You talked about getting more at-bats. So I'm just going to continue the baseball talk, and bring up slightly percentage, and ask if there's a way to maybe perhaps -- I mean, you mentioned the bundling maybe just -- like for one hospital, but going forward, bundle some hospital -- on hospital side, for the commercial side of the hospital and also -- or even packaging say detection solutions to a single customer. Is that something that you could see may grow to be a bigger part of your business or a bigger opportunity going forward?
Andy Astor: It's a great question, Jason. The answer is yes. Wes, would you like to talk about the cross-selling opportunities?
Wes Lobo: Sure. Yes. Yes, thanks for the question, Jason. This natural adjacency between our Pathogen Detection business and our healthcare business, and as I said earlier, our -- the assortment of assays that we have really can go into many different vertical markets, specifically the healthcare business where we play most. There's that adjacency and we've already seen success in joint calls, where we're going into speak about one and the other comes up and vice versa. That's part of our business development is to see how much of a run we have there. Coming back to slugging percentage is about extra base hits. In terms of dollar value, our deals vary for the most part, save a large international QSR accounted in the multi, under the thousands of it, save that type of opportunity. Most for deals I mainly said before are a low dollar volume per transaction or per site. When I say get more pads, singles are great because we wanted -- the more we have them then the more predictable and the more you set your clock to it versus hoping for the home run. I'll keep with that analogy.  So that's general from the line. But even with Pathogen Detection and coupling it with pull-through and filtration solutions in healthcare, the actual dollar value of the transaction wouldn't necessarily be higher, but certainly something that we are -- not only could do, but are already doing when we're going in to speak with -- and that also depends on who you're speaking with as a customer target audience. And so it is something that's in the works that is absolutely in the scope of the business development work we're doing. It's a great point you're bringing up. But I also wanted to level set that doing that joint sale doesn't necessarily take it from our item using hypotheticals, a $100 sale to a $500 sale.
Jason Hirschman: Sure. And I understand that, and I appreciate the color. I'd just -- also, I think perhaps it would aid some of the customer retention, the more things you get into a particular customer, of course. But we'll see. Great quarter, and looking forward to you hitting your guidance this year. And we'll keep our fingers crossed that we're done with the pandemic's part of the pandemic at least.
Andy Astor: Marc, go ahead.
Operator: And thank you. Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Andy Astor for any closing remarks.
Andy Astor: Thanks very much Chad, and thanks Kirin and Wes for being on the call with me today and sharing the mic. And thanks to everybody for dialing in, we had a really good showing today. It's been a tough few months. We've -- 2019 -- sorry, 2020 and 2021, while we grew out of the pandemic impacts of 2020, we -- it took us a whole year to do that and then the stock price took a tanking and along with many others over the last couple of months and it's been a challenging time. I'm here to tell you that we've never stopped believing.  We have never stopped working and we think we re beginning to see the benefits of not panicking, of not changing our business model of not trying to fix it. With one blow, we're putting one foot in front of the other. We are putting -- we put a strategy in place. We're executing on that strategy. We've got a great team and I hope you all stick with it because I think there's great times ahead. Thanks again for coming everybody. Take care and I look forward to seeing you all soon. Bye.
Operator: And thank you sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.